Executives: Jeffery H. Boyd - Chairman, Chief Executive Officer, President, Member of Group Management Board, Chief Executive Officer of Lowestfare.Com and Director of Lowestfare.Com Daniel J. Finnegan - Chief Financial Officer, Chief Accounting Officer and Ex-Officio Member of Group Management Board Darren R. Huston - Member of Group Management Board and Chief Executive Officer of Booking.Com, Agoda & Rentalcars.Com
Analysts: Heath P. Terry - Goldman Sachs Group Inc., Research Division A. Justin Post - BofA Merrill Lynch, Research Division Douglas Anmuth - JP Morgan Chase & Co, Research Division Ross Sandler - Deutsche Bank AG, Research Division Mark S. Mahaney - RBC Capital Markets, LLC, Research Division Brian Patrick Fitzgerald - Jefferies LLC, Research Division Thomas C. White - Macquarie Research Eric James Sheridan - UBS Investment Bank, Research Division Michael J. Olson - Piper Jaffray Companies, Research Division Michael Millman - Millman Research Associates Ronald V. Josey - JMP Securities LLC, Research Division
Operator: Welcome to the Priceline Group's Third Quarter 2013 Conference Call. Priceline would like to remind everyone that this call may contain forward-looking statements, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties and assumptions that are difficult to predict. Therefore, actual results may differ materially from those expressed, implied or forecasted in any such forward-looking statements. Expressions of future goals and similar expressions reflecting something other than historical fact are intended to identify forward-looking statements. For a list of factors that could cause Priceline's actual results to differ materially from those described in the forward-looking statements, please refer to the Safe Harbor statements at the end of Priceline's earnings press release, as well as Priceline's most recent filings with the Securities and Exchange Commission. Unless required by law, Priceline undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. A copy of Priceline's earnings press release, together with an accompanying financial and statistical supplement, is available in the Investor Relations section of Priceline's website located at www.priceline.com. And now, I'd like to introduce the Priceline Group's speakers for this afternoon, Jeffery Boyd and Daniel Finnegan. Go ahead, gentlemen.
Jeffery H. Boyd: Thank you, and welcome to Priceline's Third Quarter Conference Call. I'm here with Darren Huston, CEO of Booking.com; and Priceline's CFO, Dan Finnegan. Priceline reported consolidated gross bookings for the third quarter of approximately $10.8 billion, up 38% year-over-year or about 36% on a local-currency basis. Non-GAAP net income was $920 million or $17.30 per share, up $0.40 versus prior year. Third quarter results surpassed FactSet consensus estimates of $16.23 per share and our guidance for the quarter. Worldwide hotel room night reservations were 74.8 million for the quarter, up 36% year-over-year. Our international business recorded 41% gross bookings growth on a local currency basis, down from 44% in Q2. Room night and bookings growth rates have shown considerable persistence given the scale of the business due to solid execution in core markets and high-growth rates in Asia-Pacific and the Americas. International gross bookings also benefited generally from growth in hotel supply and growth in new markets for rentalcars.com. Booking.com's platform now has over 355,000 hotels and other accommodations, up 45% over last year. Booking.com continues its investment in its global supply platform, building substantially differentiated hotel and accommodation supply and the related content. Booking.com is also executing well in changing distribution environment with, we believe, share gains, and its U.S. brand building has added to its momentum in this country. Booking.com extended its TV investment to Australia this year, and we are pleased to further diversify our marketing spend where the data tells us it makes sense. Agoda delivered strong transactional growth in the quarter and continues investment in distribution and mobile, which is so important in the region. Both Agoda and Booking.com are building a solid business for international travel to and from China, increasing the group's exposure to that key market. Priceline's domestic gross bookings growth improved to 17% in the third quarter due to growth in airline ticket sales and rising ticket prices and growth in hotel room night and rental car reservations. We believe Priceline is gaining share domestically, with solid execution on a number of fronts, including Express Deals, rental cars and mobile. Priceline is also benefiting from increased advertising on KAYAK.com, which is generating increased booking volumes. Merchant gross bookings growth of 24% reflects growth at Agoda and rentalcars.com. Rental car days grew 28% in the quarter, as both Priceline and rentalcars.com are now facing tougher comps on increasing growth rates last year. Rentalcars.com has exciting opportunities ahead, building share in international markets, expanding its mobile footprint and investing in customer experience and brand. KAYAK.com has continued its brand building activities, and we are pleased with the early results of efforts to build a presence on KAYAK for our brands where we were previously underrepresented. As I mentioned earlier, for example, referrals from KAYAK helped drive accelerating growth at priceline.com in the quarter. Competition in travel search is intense, with most players substantially increasing marketing spend, particularly in off-line campaigns. KAYAK will continue to invest in building its brand and in international expansion, with a great team and the support of other brands in the group to drive success. The group's business performance exceeded expectations in the quarter. Operating margins were strong in the third quarter, relative to our forecast, on advertising and OpEx efficiencies. Our outlook calls for pressure on margins in Q4, driven in part by investments in marketing and people as we prioritized initiatives that drive growth and the seasonally higher share of the business in Asia-Pacific and Latin America, which, to a greater degree, are in investment mode than our core markets in U.S. and Europe. Overall, our businesses are performing well, enjoying substantial benefits from working and sharing with sister brands within the group and generating operating margins that support continued investment in brand, product and innovation. The markets in which we operate have never been more competitive, with substantial investment, particularly in travel research by large global payers and venture-backed newer entrants. We believe our group is pursuing an appropriate strategy of expansion and investment, but the most important factor in our progress both historically and going forward is the quality of our people around the world and their execution for which I am extremely grateful. I will now turn the call over to Dan for the detailed financial review.
Daniel J. Finnegan: Thanks, Jeff. I'll discuss some of the highlights and operating results and cash flows for the quarter and then provide guidance for the fourth quarter of 2013. Growth rates mentioned in my remarks are in relation to the prior-year comparable period, unless otherwise indicated. Q3 was a strong quarter from a top and bottom line perspective. Strong unit growth, paired with good operating margins, drove results that exceeded the top end of our guidance range in all key metrics. Hotel room nights booked grew by 36% in the third quarter, decelerating modestly compared to the unit growth rate of 38% achieved in each of the prior 3 quarters. Our key worldwide markets had solid performance in the quarter and had delivered remarkably resilient growth over the past year. Average daily rates, or ADRs, for Q3 2013 were up on a local currency basis by about 1.8% for the consolidated group. Rental car days booked were up by 28% for Q3, which we believe represents another quarter of gaining share in the worldwide rental car reservation market. Deceleration in our growth rate from Q2 reflects a slowdown in growth in certain markets and a more difficult year-over-year comp. For the third quarter, compared to the prior year, the FX rate for the euro to the U.S. dollar was favorable by about 6%, and the FX rate for the British pound to the U.S. dollar was unfavorable by about 2%. As a result, currency impact aided our year-over-year growth rates expressed in U.S. dollars for gross bookings, revenue, gross profit, adjusted EBITDA and net income. These FX rates were slightly favorable to our guidance forecast assumption. Q3 gross bookings grew by 38% compared to the prior year. Our Q3 international gross bookings grew by 42% in U.S. dollars and by about 41% on a local currency basis. Gross bookings growth accelerated to 17% for our priceline.com brand business in the U.S. Performance was strong across air, rental car and hotel verticals. The success of Express Deals has restored growth to our opaque hotel business, providing another way for our customers to save money with a simple booking experience that also works well on mobile devices. Priceline U.S. growth was also helped by increasing advertising placements within KAYAK. Gross profit for the quarter was $2 billion and grew 42% as compared to prior year. The inclusion of KAYAK in our results contributed about 5 percentage points of inorganic growth for the quarter. KAYAK revenue amounted to $68.4 million in Q3, net of intercompany activity. Our international operations generated gross profit of $1.8 billion, which constituted an increase of 42% as compared to the prior year and an increase of 39% on a local currency basis. Gross profit for our U.S. business, including KAYAK, amounted to $222 million, which represented 45% growth versus prior year. Q3 2012 gross profit includes a $4.8 million charge related to an unfavorable hotel margin tax judgment in Washington, D.C. Non-GAAP operating income amounted to 55.5% of gross profit for Q3 and declined by 40 bps versus prior year due mainly to the offline advertising campaign for Booking.com in the U.S. that we launched earlier this year and a modestly dilutive impact on operating margin from the KAYAK acquisition. Online advertising expense as a percentage of gross profit is 10 bps lower than prior year. We continue to see lower year-over-year ROIs, business mix shifting to our international brands and to paid channels for certain of our brands. The inclusion of KAYAK provides an offsetting favorable impact on our online ad efficiency until we anniversary the acquisition because KAYAK's been blessed relatively on online advertising as a percentage of gross profit and spending by our other brands for ad placements on KAYAK is eliminated from our consolidated results. Other OpEx, besides advertising, levered compared to prior year mainly because Q3 2012 included a $13 million one-time payroll tax charge in the Netherlands and a $4.8 million charge related to an unfavorable hotel margin tax judgment in Washington, D.C. As I will discuss in a moment when we get to Q4 guidance, we believe it is likely that the Dutch government will enact a similar payroll tax levy in Q4 2013, which will negatively impact the year-over-year margins for that quarter. Our operating margin performance was better than 250 bps of operating deleverage assumed in our guidance forecast due to gross profit over performance, better-than-assumed ad efficiency and lower-than-forecasted other operating expenses. Adjusted EBITDA for Q3 amounted to $1.11 billion, which exceeded the top end of our guidance range of $1.06 billion and represents 43% growth versus prior year. Non-GAAP net income grew by 44% and non-GAAP EPS grew by 40%, reflecting the impact of a higher fully diluted share count. In terms of cash flow, we generated approximately $970 million of cash from operations during third quarter 2013, which is about 44% higher than last year. We spent about $20 million on CapEx and repurchased $460 million of our common stock in Q3. Since the KAYAK acquisition, we have in total spent $805 million to purchase about 916,000 shares of our common stock at an average price of $878 per share to partly offset dilution from the shares issued to close the KAYAK deal. Over the last several weeks, we have received early conversion notices for about $390 million principal amount of our 2015 convertible notes, which we will settle in Q4 by issuing cash for the principal amounts and shares of common stock for the conversion premium. Our cash and investments totaling about $6.6 billion at quarter close are available for general corporate purposes, including additional share repurchases, acquisitions and debt repayment. Now for fourth quarter 2013 guidance. We are forecasting total gross bookings to grow by 27% to 34% and to grow on a local currency basis by approximately 26% to 33%, with U.S. gross bookings growing by 17% to 24%. We expect international gross bookings expressed in U.S. dollars to grow by 29% to 36% and to grow on a local currency basis by approximately 28% to 35%.. Our Q4 forecast assumes that local currency ADRs for the consolidated group will be roughly flat compared to the prior-year period. This reflects current trends, as well as the mix impact in Q4 of high travel season in less mature Asian and South American markets that are typically lower ADR and less profitable than our more mature markets. Our Q4 forecast assumes that foreign exchange rates remain at the same $1.35 per euro and $1.61 per British pound as yesterday's closing rates, which would result in average exchange rates that would be stronger by about 5% for the euro and about flat for the British pound as compared to the prior year. We have hedge contracts in place to substantially shield our fourth quarter EBITDA and net earnings from any fluctuation in the euro or the pound versus the dollar between now and the end of the quarter, but these hedges do not offset the impact of translation on our gross bookings, revenue, gross profit and operating income and do not hedge our earnings beyond the fourth quarter. We expect Q4 revenue to grow year-over-year by approximately 19% to 26% and gross profit dollars to grow by approximately 30% to 37%. Please remember that gross profit is a better indicator of our top line momentum than revenue since we record Name Your Own Price revenues on a gross basis, while our other revenues are reported on a net basis. For example, the success of our Express Deals service has driven opaque hotel growth in gross bookings and gross profit, but the shift of share away from Name Your Own Price hotel has caused the decline in opaque hotel revenue. We expect about 340 bps of deleverage in non-GAAP operating income as a percentage of gross profit compared to prior year. We assume that margins in Q4 will again be impacted by deleverage in advertising efficiency related to our Booking.com TV campaigns in the U.S. and a new campaign recently launched in Australia and the inclusion of KAYAK off-line advertising. Our Q4 guidance forecast includes a $12 million charge in personnel expense related to the payroll tax levy that we believe is likely to be enacted by the Dutch government. The different timing for the expense, Q4 this year versus Q3 last year, creates a year-over-year margin tailwind in Q3 and creates a fairly significant drag on operating margins in Q4. Other OpEx also reflects some deleverage, as we continue to invest in people and related expenses to fuel our future business growth. Adjusted EBITDA is expected to range between $510 million and $540 million, which, at the midpoint, represents 23% growth year-over-year. Our non-GAAP EPS forecast includes an estimated cash income tax rate of approximately 15.5%, comprised of international income taxes and alternative minimum tax and state income taxes in the U.S. We are targeting a non-GAAP fully diluted EPS of approximately $7.80 to $8.30 per share, which, at the midpoint, represents 19% growth over prior year, including the impact of a higher year-over-year share count. Our non-GAAP EPS guidance assumes a fully diluted share count of 52.9 million shares based upon yesterday's closing stock price of $1,058.04 per share and reflect the impact of shares issued and options assumed as part of the KAYAK acquisition, net of shares repurchased over the year. We forecast GAAP EPS between $6.40 and $6.90 per share for Q4. The difference between our GAAP and non-GAAP results is driven by non-GAAP adjustments that are detailed in our earnings release. We're pleased by the strong and steady unit growth the group has delivered over the last several quarters, and that is inherent in our forecast. Our guidance reflects deceleration in growth experienced to-date in the quarter and our expectation that such a large business comparing against high transaction growth rates will experience sequentially decelerating growth rates. Our forecast does not assume any material change in macroeconomic conditions in general and conditions in the consumer travel market in particular. I will now turn the call back to Jeff.
Jeffery H. Boyd: Thanks, Dan. Today, we announced the promotion of Darren Huston to President and CEO of the group effective January 1, 2014. This promotion is part of our Board's long-term succession planning and splits the roles of Chairman and CEO. I will remain as Chairman of the group's Board. Darren is the CEO of Booking.com, the group's largest business, and has done a great job delivering impressive growth and share gains as underscored by the results we announced today. He has also participated in group management through his membership in our group management Board and in his role overseeing the relations among our international brands. Darren is the right choice to lead the group, and I look forward to working with him as Chairman of the Board. I will now turn the call over to Darren for a few comments.
Darren R. Huston: Thanks, Jeff. Very briefly, I couldn't be more excited to take this next step with the group. I also look forward to working with our outstanding teams at all the group's 5 brands and building on our strong tradition of independent and entrepreneurial brand leadership. I see tremendous potential for the Priceline Group to continue to serve and delight travelers around the world with industry-leading and innovative online services. Also important will be to build on our long history of win-win distribution partnerships with hotels, rental car companies, airlines and other travel service providers. In the coming months, my focus will be to work with Jeff, the brand CEOs and group leadership to make sure we stay at the course on the execution of our business strategy.
Jeffery H. Boyd: Thanks, Darren. And with that, we'll now take your questions.
Operator: [Operator Instructions] Our first question comes from Heath Terry of Goldman Sachs.
Heath P. Terry - Goldman Sachs Group Inc., Research Division: I was wondering if you could start by giving us a bit more of an update on what kind of impact you saw for mobile this quarter, particularly to the extent that you're seeing any impact on -- or that was in any way sort of a driver of some of the marketing leverage that you saw or could be seeing in the business. And as you think about particularly the incorporation that you've done of KAYAK's mobile assets into the model, how that's affecting your planned investment in the category.
Jeffery H. Boyd: Well, thanks, Heath. I think our mobile businesses are performing very well in the marketplace. We have not been publishing share data in terms of the amount of reservations running through mobile platforms. But based on what we're seeing, we feel very good about the extent to which we are building mobile penetration in the group, especially looking at some of the disclosures that have been made by competitors. I think if you look at the apps and products in particular of KAYAK, priceline.com, Booking.com, I think they're all outstanding. They're getting good reviews and substantial acceptance by consumers. As I've mentioned before, I think it's still a little too early to start talking about marketing leverage or deleverage from the growth of business in the mobile channel because it's such early days in terms of really understanding what the return on investment in mobile is, and that's particularly true when so many consumers are completing a transaction after accessing our brands through multiple screens. But that's something that we continue to look at and it's our objective and the objective of others to try to get real estate on people's smartphones, so that they will come back directly to our brands, and I think we're doing a good job working in that direction. KAYAK's mobile assets, we think, are top notch and we said that at the time of the acquisition. They've been an active participant in our intercompany activities, as we share with each other best practices and new developments in mobile. And certainly, our brands are advertising, not only on KAYAK's desktop product, but in their mobile product as well; and as I mentioned in my prepared remarks, that's proceeding well.
Operator: Our next question comes from Justin Post of Merrill Lynch.
A. Justin Post - BofA Merrill Lynch, Research Division: Jeff, could you talk about why the CEO change now and how involved you plan to be with the company going forward? And then, a little bit about the update on Booking.com in the U.S. How successful has that ad campaign been? Obviously, you're continuing to see much like the results. And maybe you could help us on whether you think this thing is working and can continue next year.
Jeffery H. Boyd: Okay. Justin, in terms of the CEO change, Darren is leading the biggest brand within the group. And as you guys can see, with all of our brands we're becoming an increasingly global business and I think it's a very, very logical and great choice for Darren to be the next CEO of the group. As to the timing of it, part of that is personal. I've been involved in the business for 14 years and running it for most of that time. And I'm looking forward to the opportunity to doing some different things, but also looking forward to the opportunity to work with Darren to make sure that the business continues on its successful course. I think we have something really special here, and it's really my highest priority to make sure that this transition in CEO goes well. And I'm confident that Darren and I will work well together in that regard. And I think I'll let Darren talk about how the advertising is going in the United States for Booking.com.
Darren R. Huston: Yes, Justin, we're really, really pleased with the results of the campaign so far. We are a very large global brand, the largest brand for booking online for hotel accommodations in the world, but we started off being a relatively unknown brand in the United States. So our primary objective in the -- these early stages is really to get Booking.com, Booking.yeah into the American dialect around travel. And with that, we've been really pleased with the initial results. No comment right now on the nature and extent of what we'll do in the coming year, but we're really pleased. And now, of course, with this latest experiment in Australia and America, where we've historically done very well, to also see how that works. And so far, we've been very pleased with those results as well.
A. Justin Post - BofA Merrill Lynch, Research Division: Maybe one follow-up. Have you been able to see an acceleration in your U.S. Booking.com growth since you launched the campaign?
Darren R. Huston: We've been really pleased with our results in the U.S. We don't specifically disclose those. But for our business in what's otherwise a very mature market, we're extremely pleased also to get American bookers because that's helped our business in destinations at American Go [ph], like Mexico, the Caribbean and other destinations.
Operator: Our next question comes from Douglas Anmuth of JPMorgan.
Douglas Anmuth - JP Morgan Chase & Co, Research Division: Just wanted to ask 2 things. First, on the early integration with KAYAK, could you just talk a little bit more about how you're feeling about how it's being used for Express Deals; and then, also where you currently are in terms of the booking you have and getting more of the Priceline Group brands in there? And then, secondly, can you just comment on the rental car days deceleration that we saw and the key drivers there?
Jeffery H. Boyd: Thanks, Doug. So the early integration with KAYAK, the integration includes both advertising placements, which would include banners for Express Deals. And if you go to KAYAK, you'll see those from time-to-time, and we have to compete for that space but we're happy with how that's working. And with respect to the booking path, our group brands did not previously participate in KAYAK's booking path before the acquisition was closed, but we are participating now. And again, that's a competitive marketplace, but we're happy to be trying to get our share there. With respect to the rental car days deceleration, Dan, maybe you could?
Daniel J. Finnegan: Yes. So the -- what we highlighted, Doug, was deceleration in certain markets. We saw some softness in demand for rentalcars.com, particularly in our biggest market in the U.K. And what's going to trump that up to, whether it's comping against the Olympics or great weather, we just saw some softness there. Overall, the business continues to perform very well. It was also just comping against a very high growth rate in the prior year. That was also an issue for the Priceline U.S. business. There can be variability for the opaque rental car business depending upon our access to discounted rates. We had some acceleration in our growth rate there in Q3 2012. And so, that created a difficult comp for this year, although that service continues to post some healthy growth rates.
Operator: Our next question comes from Ross Sandler of Deutsche Bank.
Ross Sandler - Deutsche Bank AG, Research Division: But quick question on the guidance maybe for Dan. You guys called out a few items that are impacting the operating margin deleverage in the guidance. I think there was 4 things, mix shift to APAC, marketing ROIs, TV campaign and the Dutch payroll issues. So can you just bracket for us, I guess, a little bit better which of these items are accounting for the deleverage? And now, that you've comped the negative ROI period from 3Q last year in your online marketing, can you just talk about what you're seeing broadly in terms of the year-on-year ROI trend?
Daniel J. Finnegan: Yes. So the last piece there, in terms of the year-over-year trend for online advertising, the comps are easier and you can see that the results that we posted for Q3 are better. We don't have deleverage in that line item. That's somewhat helped by alleviation in the amount of decline in ROIs year-over-year and then, also just the inclusion of KAYAK, as I pointed out in my scripted remarks. So they have a higher percentage of direct traffic to the website, but they're not acquiring through paid online channels. And we now eliminate the spend by our other brands on the KAYAK platform. In terms of Q4, the principal drivers in terms of year-over-year deleverage, first and foremost, I'd point to the off-line campaigns. So we didn't have that spend last year and we do this year. And then, as well as significant contributor is that Dutch payroll tax, the $12 million hitting us this year and there was none last year related to that item. And then, beyond that, it would just be more broadly kind of the expenses that we incurred to run the business. So people, offices, travel, things of that nature.
Operator: Our next question comes from Mark Mahaney of RBC Capital Markets.
Mark S. Mahaney - RBC Capital Markets, LLC, Research Division: Jeff, I know you're still staying with the company. I know it's a team effort, but your stock has gone from $10 to $1,000 since you've been CEO. That's a 100-bagger. I don't think I've seen that before and may not see that again. Two questions. One, same-day bookings, the sense we have is that that's now becoming a material advantage for online travel agencies. Could you talk about how large or how material that opportunity has been for you? And then, any color at all on Asia-Pacific, Latin America markets? You threw out a few more qualitative comments than normal. Would you be able to quantify what percentage of your international bookings come from those 2 markets?
Jeffery H. Boyd: Mark, thank you for those kind words. I really appreciate it. So same-day bookings, I think, has taken on a little bit of increased importance in our space because of the mobile product that's now essentially ubiquitous. There's been a lot of development by our brands and others to try to drive same-day deals to consumers via the mobile platforms, and that's a compelling opportunity. And I think what's happening is that the availability of that product is changing people's behavior, that they're more comfortable waiting until the last minute to book a hotel in the hopes that they'll find a deal on their smartphones. So just a great example of technology changing behavior and representing an opportunity not just for consumers, but for brands like ours who can meet that demand. And I think, based on the data we see internally, we are taking good advantage of that business trend and doing well in same-day bookings, in particular through our mobile platforms. And that may be something where we have a bit of an advantage too because I think our brands are well known for value, and it's a logical place for a consumer to look at a brand that's well known for value. And maybe I'll turn it over to Darren to talk about how we're doing in Asia-Pacific and Latin America.
Darren R. Huston: Yes. We've been doing very well in both markets. Obviously, as you know, Agoda, their primary booker market is Southeast Asia. But also, Booking.com has done extremely well, particularly would highlight, for instance, outbound Chinese business for both brands have been very strong. Inbound Japanese business has been strong. So that's a great market. And Latin America continues to be a very strong market for us, both travel within Latin America but also our increasing strength with American bookers has helped our Latin American business. So we're really pleased. I think both markets are becoming even more important to the group. And also, it's a demonstration of the globalization of our business.
Operator: Our next question comes from Brian Fitzgerald of Jefferies.
Brian Patrick Fitzgerald - Jefferies LLC, Research Division: Maybe 2 quick questions. As TripAdvisor is adding smaller IBEs, Internet booking engines, to their platform, do you think that's going to create volatility or temporary pricing pressure for those leads as maybe they're less sophisticated and they have less data in terms of being able to adeptly kind of price those leads and sell for ROI? And really quickly, the second one was any unique dynamics you're seeing from your Google-derived traffic as the technical [ph] functionality has been out there for a while now?
Jeffery H. Boyd: Okay. So, Brian, with respect to the so-called IBEs on TripAdvisor, it's a very small part of their business right now, so we don't have a lot of data to analyze or to comment on. I do think that, at least in my estimation, it's unlikely that single hotels will be empowered to bid aggressively on TripAdvisor by virtue of that connectivity. They will absolutely benefit by being displayed and they'll get bookings, but I think it's unlikely that they'll have the sophistication or the conversion to dramatically move the auction dynamics in their advertising market. And again, it's early days, but that's just my opinion with respect to that. In terms of the unique dynamics on Google, we obviously have seen the carousel. We've -- they're continuously experimenting both in their hotel price ads platform, as well as across the various venues where we advertise. I -- we would not comment on how we're doing with respect to one of their particular experiments or presentations, suffice it to say that we work very hard to understand how all of those presentations work and we work with Google to make the best out of all their channels, and we continue to do that.
Operator: Our next question comes from Tom White of Macquarie.
Thomas C. White - Macquarie Research: Question. Jeff, you talked a bit about the changing distribution landscape and all the investment in the metasearch space at the moment by both of you guys and your competitors. I guess, when we think about the percent of your total traffic that comes from meta or maybe just paid channels more generally, is it increasing if we sort of isolate it by geography? Obviously, some of your newer markets, I think you guys are maybe getting more traffic there from paid channels. But what about from more mature markets, isn't that overall increasing as kind of a percent of your overall traffic?
Jeffery H. Boyd: So I think the best way I can answer that is to refer you to the growth that other reporting companies have mentioned recently for TripAdvisor and for Trivago. There's definitely growth in the channel. And while TripAdvisor is really much more than just a meta site, that ultimately is the price comparison tool they offer to their customers. So there's definitely growth in those channels and growth for our brand in those channels, and that's one of the reasons that we are delighted to have joined up with KAYAK because they've got a great product and they're participating in that growth. It's not big enough to substantially drive the marketplace at least for a business of our size, but it's an important distribution channel and it's growing for us and it's a good distribution channel. There are customers who want to comparison shop. And if you look at the experience that we can provide to somebody who arrives at one of our brands from a metasearch site, we can get them to a booking better than anybody. So we're -- we think we're well positioned to compete in that channel. The other thing I will say though is I think we're going in the right direction to make sure that we build our strength in a variety of distribution channels and ultimately build our brands because, just like any other online brand, our goal is to get customers to come to our site, enjoy the experience and come back directly. And you see the brand advertising that we're doing now with 3 of our brands, priceline.com, Booking.com and KAYAK.com, and I think we have good expertise and capability in that area, too. And we'll hopefully continue to invest there to try to drive direct traffic as well.
Operator: Our next question comes from Eric Sheridan of UBS.
Eric James Sheridan - UBS Investment Bank, Research Division: Two quick questions. One, on the advertising business more broadly, I want to understand, with sponsored listings now launched as a product in KAYAK, sort of the puts and takes as you think about being more aggressive on pushing advertising products, either on the platform or off and how that might help marketing efficiency for Priceline in general going forward? And then, the other question really is around the agreement that was announced between Expedia and Travelocity and how you might think about that impacting the domestic business as we move into 2014, 2015?
Jeffery H. Boyd: Thank you, Eric. With respect to the ad business, I think the way that we look at that on our brands and the way KAYAK looks at it is really of an optimization game to try to build the presentation on your website that gives the customer what they're looking for in the most efficient way and ultimately maximizes your conversion and the revenue that you can drive from a page view. Sponsored listings can work well in that regard, as long as the -- it's not defeating the choice that the customer is looking for or the price transparency that the customer is looking for. And so, you can expect there -- to continue to be optimization there. The other thing I'll say is that not all of our brands are active in advertising on the site. Priceline.com and KAYAK obviously have substantial advertising on their site. But if you look at Booking.com, Agoda or rentalcars.com, it's -- you're just not going to find it. So different brands are independently managed and have the ability to deal with the trade-offs between driving advertising revenue or putting direct product in front of customers, and our different brands deal with that differently. And I think that's the only comment I would make on that front. With respect to the Expedia-Travelocity transaction, I think it represents a good transaction for Expedia. They disclosed a range of EBITDA, which is a nice addition to their earnings for the first year that they have it implemented. After that, for that revenue to grow, I think it's going to be a challenge for Travelocity to take a portion of the total revenue derived from a transaction and be competitive with other players like ourselves who are basically having the entire economics to use for investing and innovating and marketing, and it's also hard to win the innovation game when you can really only play it on the front half of the product that you're delivering to your customer. So I think that ultimately might represent a long-term challenge for Travelocity. And the final thing I'll say is that Expedia is going to have a greater share of market vis-à-vis suppliers, particularly in the markets where Travelocity is strong and that will probably be a benefit for them. But if your question was phrased in terms of, is that going to change materially the overall dynamics in the advertising and distribution markets in which we play, I think the answer to that is probably no.
Operator: Our next question comes from Mike Olson of Piper Jaffray.
Michael J. Olson - Piper Jaffray Companies, Research Division: Given some recent partnerships and just general continued momentum in vacation rentals, do you increasingly feel that you'll need to make more significant efforts in that space? In general, do you believe the consumer really wants to have all available lodging options on 1 site? And then, how do you think your hotel partners have react to more significant vacation rental listings integrated onto OTA sites, in general?
Jeffery H. Boyd: Mike, thank you. I think I'll let Darren take that one.
Darren R. Huston: Yes, we've -- as you can probably tell, on Booking.com, which probably of the brands in the group were the ones going the furthest into what we can call non-hotel accommodations, we have found that there's always a place to stay for every person depending on your needs. And whereas you might be traveling on business one time, the same booker may be traveling with a family of 4 or 5 for a week and wanted to stay in Southern Spain. And what we want to try to do is present a variety of accommodation options so that we can help consumers find the best option for them. And I think, certainly, it's hard to argue that vacation rentals might not fit in one of those options. But if you're on business, you don't want to see a bunch of vacation rentals if you're going to be staying in downtown New York. So I do think it's valuable. I think there's a lot of work to be done to make vacation rental booking as smooth as booking a hotel, but I think it is an interesting space for us for the long term. But there's a lot of work to do in multi-room, non-hotel accommodations as well. So at least, we've seen, when a demand comes in the front of the funnel, people do appreciate having more options than fewer options when searching for accommodations.
Operator: Our next question comes from Michael Millman of Millman Research.
Michael Millman - Millman Research Associates: So following up on at least the U.S. car rental business. The -- there's now more discount brands and more -- to what extent is that reducing the availability of cars with the opaque market on one hand; and on the other hand, putting prices at a point where the consumer who really does need the aggravation of the opaque market? And then, I have another question.
Jeffery H. Boyd: Michael, thank you for your question. With respect to discount brands and the impact of discount brands on opaque, it is true that the name brands that we offer on opaque have consolidated some discount brands. And one of the reasons for doing that is to have some flexibility in moving cars back and forth, although I can't tell you for sure the degree to which they're effectively doing that. But having that ability to transfer cars back and forth and push idle inventory to a discount brand that can be sold at retail could potentially have an impact on the availability for opaque. With respect to pricing, the consolidation hasn't, at least in the experience of our business, had a dramatic impact on opaque availability. And the -- I think the reason for that is that the price competition from the discount brands is similar, whether they've been operating independently or whether they've been operating as part of some of the larger ones and there's, in most markets, still plenty of discount brands that are independent to push that pricing down. Now the degree to which that has produced a circumstance where people don't want to make the opaque trade-off -- and by the way, I wouldn't use your word of aggravation. It's actually quite un-aggravating to rent an opaque rental car on priceline.com. You're going to get a car at an airport from a major brand for 25% to 30% discount. That -- usually for our customers, they're very happy about that. And really, the trade-off is they're going to take some comfort in knowing that they're going to get an on-airport, well-known brand versus potentially having to go off-airport or get something from an unknown rental car company that might have a lot more miles on it, et cetera. So that's a long answer to your question. But I think the pricing is really driven much more by broad fleet dynamics than what's been going on in the discount space.
Michael Millman - Millman Research Associates: Okay. And the other is, I guess, Focusrite has at least put out some papers, arguing that APAC travel within the region now has surpassed Europe. Can you comment on whether you see that as well?
Darren R. Huston: This is Darren. Thanks, Michael. It's interesting. The statistics in travel are pretty hard to come by and Focusrite is definitely a good source of information. But I think, certainly, both the European and APAC markets are very attractive marketplaces. Yes, of course, there's a rise in the Chinese traveler that we all know about, certainly increasing incomes in Southeast Asia. Those are all dynamics that are particular to Asia, which you don't see in Europe, and Europe doesn't have the population growth nor the same kind of opportunity. So -- but I would say Europe, the Americas, APAC are all, of course, sizable opportunities with plenty of room to grow still for the group.
Jeffery H. Boyd: And, Michael, I would just add to that, that when we've been talking about the Asia-Pacific opportunity, it's a substantial opportunity. But notwithstanding the Focusrite data, we caution that it's going to be difficult to have that market grow as fast on the Internet as the Western European market has just because of Internet penetration, the type of devices that people are using. And most importantly, the overall level of relative affluence is just so much higher in Western Europe. So I'm sure there's been a dramatic increase in intra-Asia travel, although we don't have those numbers. But I still think that the good news is that opportunity is going to continue to unfold over a longer period of time.
Operator: Our final question for the hour comes from Ron Josey of JMP Securities.
Ronald V. Josey - JMP Securities LLC, Research Division: So, Dan, I wanted to go back to -- I think you had mentioned that maybe some advertising efficiencies on KAYAK. And in your prepared remarks, you mentioned that better advertising efficiencies helped the bottom line. So was it KAYAK that was better, or were there other benefits -- maybe other benefits in your advertising spend that helps like the TV and brand spend?
Daniel J. Finnegan: So for Q3, Ron?
Ronald V. Josey - JMP Securities LLC, Research Division: Yes, for 3Q. Yes, for 3Q.
Daniel J. Finnegan: Yes. For Q3, ROIs came in better than what we had forecasted as well, so that definitely helped. The dynamic where KAYAK has a lower percentage of online ad spend and we eliminate spending by the other brands on KAYAK, we knew about that. That was built into our forecast. So the bigger driver there is just some efficiency in terms of ROIs and overall spend for offline as well.
Ronald V. Josey - JMP Securities LLC, Research Division: Got it. And then one last question real quickly, given the strong domestic bookings growth we saw in the quarter in guide, any comments on just Express Deals in terms of how that's impacting the overall hotel growth domestically?
Daniel J. Finnegan: So that has really just been a game changer for the U.S. business for opaque hotel. As you will remember, last year, we were posting quarters where we had pretty significant declines in opaque unit growth. And we've turned that around now, and the opaque hotel business is growing nicely for the U.S. priceline.com business. We continue to see some declines in Name Your Own Price, but the 2 together, Express Deals and Name Your Own Price, have driven overall growth. So Express Deals has just been another nice offering in the arsenal for people that aren't willing to make the more substantial trade-offs for Name Your Own Price. It also just lends itself very well to mobile because it's a simpler offering where the person can see the price and just click and make the booking. So it's been a real positive for the U.S. business.
Operator: And at this time, I'd like to turn the call over to management for any closing remarks.
Jeffery H. Boyd: Thank you, all, very much for participating in the call.
Operator: Thank you, gentlemen. That does conclude the program. Thank you, everyone, for your participation. You may disconnect your lines at this time. Have a great day.